Operator: Good afternoon, ladies and gentlemen, and welcome to Global Industrial First Quarter 2024 Earnings Call. At this time, I would like to turn the call over to Mike Smargiassi of Plunkett Group. Please go ahead. 
Mike Smargiassi: Thank you, and welcome to the Global Industrial First Quarter 2024 Earnings Call. Leading today's call will be Barry Litwin, Chief Executive Officer; and Tex Clark, Senior Vice President and Chief Financial Officer. Formal remarks will be followed by a question-and-answer session.
 During the call, we will reference both GAAP and organic metrics. Organic reflects the performance of the Global Industrial business, exclusive of the May 2023 Indo acquisition. Today's discussion may include certain forward-looking statements. It should be understood that actual results could differ materially from those projected due to a number of factors, including those described under the forward-looking statements caption and under Risk Factors in the company's annual report on Form 10-K and quarterly reports on Form 10-Q. The press release is available on the company's website and has been filed with the SEC on a Form 8-K. This call is the property of Global Industrial Company. I will now turn the call over to Barry. 
Barry Litwin: Thanks, Mike. Good afternoon, everyone, and thank you for joining us. First quarter revenue improved to more than $323 million. And on an organic basis, we posted our third consecutive quarter of growth with revenue up 4.2%. These results reflect the continuation of the cautious customer purchasing behavior we have seen for the past several quarters. Overall, our performance was consistent through the period. E-commerce was once again our leading channel, and we are seeing strong growth in our enterprise business as it benefits from new account generation and healthy retention rates. Order and volume trends were solid and partially offset by continued price headwinds.
 We remain pleased with gross margin performance, which was 34.3% in the quarter. On an organic basis, gross margin of 35.8% was essentially flat on both the prior year and sequential quarter basis. As I outlined on our last conference call, in 2024, we are focused on championing the customer experience across every facet of the business. This includes enhancing the quality and value we provide to elevating our position as a solutions provider and problem solver for our customer. Across the organization, we are executing against multiple initiatives to help us continuously improve and deliver an exceptional end-to-end shopping experience.
 One of the key performance indicators we utilize to measure the impact of these efforts is our customer satisfaction scores. Our Voice of the Customer process evaluates everything from product fulfillment and quality to overall experience. Satisfaction scores run greater than 90% each week, and this tells us that the customer service, same-day shipping percentage, order fill rates and post-sale support are working well, as evidenced by our high customer retention rates. Customer retention drives the total lifetime value of our customers and ultimately enables us to capture market share. The gains we are seeing are a direct reflection of the efforts of our associates and recognition across the company that everything we do impacts the customer.
 Overall, we have been pleased with our execution against the key pillars of our customer-centric strategy. We continue to differentiate our position in the market through an exceptional experience, a leading assortment of national brands and global industrial exclusive branded products and a one-to-one managed sales approach that delivers significant value to customers. We are making continued investments in sales, marketing, merchandising and customer service that will help us drive operating efficiencies, accelerate customer engagement and strengthen our competitive position and capture market share. While the current demand environment is not as robust as we would like, we believe Global Industrial is improving its position as an indispensable business partner and in turn, strengthening its ability to drive its long-term performance.
 The industrial distribution market remains highly fragmented, and we have numerous opportunities for growth as we drive sales enablement across our channels, expand current relationships and acquire new customers. With an exceptional balance sheet and strong cash flow from operations, we are well positioned to execute on our strategy, invest in our growth drivers and evaluate strategic opportunities while we build long-term value for our stakeholders. I will now turn the call over to Tex. 
Thomas Clark: Thank you, Barry. First quarter revenue was $323.4 million, up 18.1% over Q1 of last year. Organic revenue was $285.3 million, up 4.2% year-over-year. Organic U.S. revenue was up 4.3% and Canada revenue was up 1.8% in local currency. Revenue benefited from volume improvement, while order growth rates were impacted by continued pricing headwinds. The pricing environment remains competitive. However, we are optimistic that the negative impact to pricing trends will improve near term. We have seen the first quarter's modest organic revenue growth continue into April. Gross profit for the quarter was $110.9 million, up 12.7% from last year. Gross margin was 34.3%, down 160 basis points from the year ago period due to the contribution mix of Indoff and its relatively lower gross margin profile. Indoff gross margin was 23%, which represents an improvement to their historical performance.
 Organic gross margin rate was 35.8%, off 10 basis points from both the year ago and sequential period. Management of our margin profile remains a key area of focus. Performance will continue to reflect the impact of proactive promotion and freight actions as part of our competitive pricing initiative. As a reminder, we are nearing the first anniversary of our Indoff acquisition in May of this year. Composite margin impacts related to the business combination will be more muted in the second quarter as compared to last year, given this timing. In addition, ocean freight costs, while all recent highs remain elevated, higher cost inventory is starting to flow into our cost of sales, and this is something we are proactively managing.
 Selling, distribution and administrative spending for the quarter was $93.5 million or 28.9% of net sales, an improvement of 50 basis points from last year. SG&A primarily reflects the benefit of Indoff's lower cost structure. This was partially offset by approximately $0.9 million of audit and remediation costs related to certain IT general controls incurred in the period. Given planned investment in key sales and marketing growth initiatives as well as SOX implementation costs associated with the Indoff acquisition and ongoing IT control remediation, we currently expect SD&A to be elevated in 2024 when compared to the year ago period.
 Operating income from continuing operations was $17.4 million in the first quarter, and operating margin was 5.4%. Organic operating margin was 5.6%. The Operating cash flow from continuing operations was $6.3 million in the quarter as we built inventory in advance of the spring and summer season. The second and third quarters are historically the largest sales periods for our private brand products. Total depreciation and amortization expense in the quarter was $1.9 million, including approximately $0.7 million associated with the amortization of intangible assets with the Indoff acquisition, while capital expenditures were $1.3 million. We expect 2024 capital expenditures in the range of $3 million to $5 million, which primarily includes maintenance-related investments of equipment within our distribution network.
 Let me now turn to our balance sheet. We have a strong and liquid balance sheet with a current ratio of 1.9:1. As of March 31, we had $29.9 million in cash, no debt and approximately $120.7 million of excess availability under the credit facility. We maintain significant flexibility to fully execute on our strategic plan and to continue to fund our quarterly dividend. As a result, our Board of Directors declared a quarterly dividend of $0.25 per share of common stock.
 This concludes our prepared remarks today. Operator, please open the call for questions. 
Operator: [Operator Instructions] the first question comes from Lauren Ravalli with William Blair. 
Lauren Ravalli: Lauren Ravalli from William Blair for Ryan Merkel. I just wanted to ask about the cadence of sales in the first quarter, specifically how each month performs and how results may be differ from expectations. I know your peers talked about how March is impacted by the timing of good Friday. Any color is really helpful. 
Barry Litwin: Yes. I would say that from a timing perspective, we did see a fair amount of consistency through the period overall for us. And I think as we see for Q1, as we exited Q1 and certainly into the early part of the year, modest organic revenue growth has continued. So I don't think we saw -- I did read something about weather challenges holiday. I don't think that had as big an effect on us as maybe some others had. 
Thomas Clark: Yes. Laura, just add to that. I mean, as Barry said, very consistent growth throughout the quarter, January, February, March. And while the good Friday holiday did fall in the end of Q1 rather than beginning of Q2 this year, we didn't seem to see a material impact from that holiday shift. 
Operator: Your next question comes from Anthony Lebiedzinski with Sidoti & Company. 
Anthony Lebiedzinski: So you guys talked about cautious customer behavior. Yet your organic sales growth of 4.2% was better than what we had expected. So I guess are you -- maybe you could just give us more details as to which of your maybe vertical markets or any sort of customer groups that you are seeing more pronounced weakness than others? Just wanted to get more color on that, if you could. 
Barry Litwin: Yes, Anthony, that's a good question. I think from the standpoint of cautious customer market, we definitely see that. And I think it stems from the SMB market, the small- to midsized customer market, I think, certainly with some of the economic numbers that have come out recently were -- I think that's going to be persistent for a little while. Our end-use markets, when you think about some of the big ones we're in manufacturing and retail and transportation, warehousing, it was fairly consistent across those segments. We'll kind of see what kind of changes are ahead as we kind of get a little further into Q2.
 But certainly, any type of industry that has impact into fixed asset purchases, CapEx implications, things like that. We'll probably have some of the first impacts on us. But through the period in Q1, it was fairly consistent. It was more relating to the size of the customer. Smaller customers where I found were a little bit more challenged. The larger kind of enterprise national customers seem to be able to withstand the period a lot better. 
Anthony Lebiedzinski: That's helpful color. And have those trends continued so far into the second quarter? 
Barry Litwin: Yes, I think the shape of it is similar. 
Thomas Clark: Yes, Anthony, similar results as we go in, we're about 4 weeks in the second quarter. And as we highlighted, similar consistent results into this period so far. 
Anthony Lebiedzinski: Got you. And then in terms of your e-commerce sales channel, roughly what percent of your transactions is out? Is that actually total? And then can you give maybe more color on the new account generation that you highlighted in your press release? 
Barry Litwin: Yes, sure. So when you think about broad sense, you really look at the full e-channels, which are generally north of 60% in terms of e-transactions for our business, and that includes e-commerce, that includes EDI, includes procurement, all the ways in which many of our B2B customers buy from us. We usually don't call out the e-commerce channel separately, but it has been a solid channel for us. As you know, we've made some improvements over the last couple of years some changes in the navigation experience. And I think that's having a positive effect relative to overall conversion rates and the overall customer experience that people have moving through the site. So that has certainly helped us going forward.
 We did mention, as you discussed, some opportunities within larger enterprise accounts. You guys know that, that's been something that has been a, fairly new for us over the last couple of years. It's a channel that's been growing in terms of our larger accounts to global industrial. We don't call that out separately. However, it's a channel that has been -- we've been pleased with the performance, and we think over the next couple of years, it's going to be very significant for us. So we've been really happy with that market and some of the work that our strategic account managers are having in that area. 
Anthony Lebiedzinski: Got you. And a couple of other questions, if I could. So I think Tex you mentioned that Indoff's gross margin was better than historical. What drove that? And do you see any other opportunities to further improve Indoff's margins? 
Thomas Clark: Yes, absolutely, Anthony. In those margins were came in about 23% in the quarter, which was again, a little bit higher than the mid-21s that they had previously reported. Historically, both after our ownership after we acquired them and really pre-acquisition. I mean, the quarter, they had closed a couple of large deals that happened to be very favorable margins. We're continuing to push efforts and initiatives to drive higher balance of private brand sales and introduced to e-commerce capabilities to their business, which should continue to help that margin over time. And while this first quarter was benefited by a single large order that drove that margin rate up, we are seeing continued action -- positive action of those initiatives to improve margin in the long run. 
Anthony Lebiedzinski: Got it. Okay. And then in terms of SG&A expense growth, I mean it was up 16% versus last year and up 8% sequentially from the fourth quarter. I know you're doing some investments in different initiatives. So as far as going forward here, how should we expect as far as the run rate before expenses from here? 
Thomas Clark: Sure. Let me give you a little color on that, Anthony. So when we think about the year-over-year number at 16%, you got to remember that, obviously, we acquired a business that made up nearly 10% -- over 10% of revenue. So that alone contributed about half of the SG&A growth rate just by having an additional business in the portfolio in Q1 this year as compared to last year. When we think about sequential changes, there's obviously -- we had highlighted in past quarters that we were going to be investing in sales and marketing initiatives that we think that's prudent in a market that is somewhat challenged to be able to take share where we can and make sure we're investing in those key growth elements even if it's at the bottom line to drive that top line up right now.
 And that's one area that we're going to continue to focus on. The only other thing we highlighted on today's call, we did have about $900,000 of a quasi onetime related charge in the period, which is contributed to some of that incremental year-over-year growth. 
Anthony Lebiedzinski: Got you. Okay. That's very helpful. Okay. And then last question for me. So now that you're almost 1 year after the Indoff deal, are you looking for any other additional acquisitions? 
Barry Litwin: Yes, good question. So we've been pretty consistent in that. I mean, I think as much as we focus on our organic strategy, we absolutely consider acquisition as a component of our business going forward. So we definitely are looking at new types of opportunities that can bring us into new categories that can add to our business model, add customers, new channels to sell our private brand. Those are all really important to us. And when we come across those deals, we would take advantage of that. We've been pleased so far with what's happened with Indoff up until this point, and we think there's a lot more value to go there. But certainly, we're constantly keeping our eyes out for opportunities on the acquisition front. 
Anthony Lebiedzinski: Sounds good. Well, thank you very much, and best of luck. 
Operator: Our question-and-answer session and the conference for today. Thank you for attending today's presentation. You may now disconnect.